Operator: Good afternoon, and welcome to DoubleDown Interactive Earnings Conference Call for the Second Quarter ending in June 30th, 2024. My name is Lisa, and I will be your operator for this afternoon. Prior to this call, DoubleDown issued its financial results for the second quarter of 2024 in a press release, a copy of which has been furnished in a report on Form 6-K filed with the SEC and is available in the Investor Relations section of the company's website at www.doubledowninteractive.com. You can find the link to the Investor Relations section at the top of the homepage. Joining us on today's call are DoubleDown CEO Mr. In Keuk Kim and its CFO, Mr. Joe Sigrist. Following their remarks, we will open the call for questions. Before management begins their formal remarks, we need to remind everyone that some of management's comments today will be forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934, as amended, and the company hereby claims the protection of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are statements about future events and include expectations and projections, not present or historical facts, and can be identified by the use of words such as may, might, will, expect, assume, believe, intend, estimate, continue, should, anticipate and other similar terms. Forward-looking statements include and are not limited to those regarding the Company's future plans, mergers and acquisition strategy, strategic and financial objectives, expected performance and financial outlook. Forward-looking statements are subject to numerous risks and uncertainties that can cause actual results to differ materially and adversely from what the company expects. Therefore, you should exercise caution in interpreting and relying on them. The company refers you to DoubleDown's annual report on Form 20-F filed with SEC March 28th, 2024, and other SEC filings for more detailed discussion of the risks that could impact future operating results and financial condition. These forward-looking statements are made only as of the date of this call. The company does not undertake and expressly disclaims any obligation to update or alter the forward-looking statements, whether as a result of new information, future events, or otherwise except as required by law. During the call, management will discuss non-GAAP measures which are believed by management to be useful in evaluating the company's operating performance. These measures should not be considered superior to, in isolation or as a substitute for the financial results prepared in accordance with GAAP. A full reconciliation of these measures to the most directly comparable GAAP measure is available in the earnings release and in the Form 6-K filed with the SEC prior to this call. I would like to remind everyone that this call is being recorded and will be made available for replay via a link in the Investor Relations section of DoubleDown's website. It's now my pleasure to turn the call over to DoubleDown CEO, In Keuk Kim, you may begin.
In Keuk Kim: Thank you, Lisa. Good afternoon, everyone. Thank you for joining us on our 2024 second quarter earnings call. This afternoon we reported total Q2 revenue of $88.2 million comprised of $80.3 million generated by our social casino free-to-play games and $7.9 million generated by SuprNation, our iGaming business. Q2 was the third consecutive quarter of year-over-year revenue growth for our free-to-play social casino business as it was up 7% compared to Q2 2023. Our social casino revenue growth reflects our ability to gain market share and outperform the industry as Eilers & Krejcik Gaming recently reported an estimated year-over-year overall top line decline for the social casino segment at large. Importantly, our top-line growth is being achieved within our criteria of consistently converting revenue to profit and cash flow. Adjusted EBITDA for the second quarter rose 34% year-over-year to $37 million, and cash flow from operations was $34.4 million. DoubleDown Casino continues to be the driver of our strong results as we again generated year-over-year increase in some of our most important KPIs including ARPDAU, average monthly revenue per payer and payer conversion rate. As we've previously discussed, we believe the recent growth of our social casino business is in part due to last year's release of new meta features for DoubleDown Casino. These features are consistent with our focus on player and payer retention as we continue to deliver even more excitement to DoubleDown Casino players. In this second quarter, the social casino business also benefited from our initiative to provide players with greater options to buy chips from direct channels. Revenues from these efforts, which benefit our profitability are beginning to ramp noticeably. In summary, our strategy for social casino is to continue enhancing the entertainment value of DoubleDown Casino, while remaining disciplined in our user acquisition and R&D spend to drive strong profitability and free cash flow. Turning to SuprNation, Q2 was the second full quarter of our ownership of this iGaming business. Revenues of $7.9 million for SuprNation in Q2 continued to be above our estimates of what the business quarterly run rate was prior to our acquisition in late 2023. In Q2, we pulled back somewhat on player acquisition spending compared to Q1. As we've gained more experience with the business, we are beginning to fine-tune our plans and efforts to scale SuprNation. In this business, we believe we have many opportunities to leverage our core strengths, including our game developer's expertise in game creation and our marketing platform to scale SuprNation profitably. And over the next several quarters, we expect to continue to find the investment sweet spot in the business to optimize both top-line growth and cash flow generation. The only progress we are having with SuprNation confirms our thesis that we can leverage our core strengths and balance sheets to further diversify our business into new gaming categories that have a highly addressable market opportunity. We are continuing to invest in new internally developed mobile games, including those we expect to launch in the second half of this year, with the commitment to undertake these efforts in a manner that creates additional value for shareholders. Given our excellent financial foundation, we will continue to evaluate opportunity to expand into new markets, both organically and through M&A. Now, I will turn it over to our CFO, Joe Sigrist, to walk us through our financials before providing my closing remarks, Joe?
Joseph Sigrist: Thank you, IK, and good afternoon, everyone. Our revenues for the second quarter of 2024 were $88.2 million and were comprised of $80.3 million in revenues from our social casino free-to-play games and $7.9 million of revenues from SuprNation. This compares to total revenues from our social casino free-to-play games of $75.2 million last year. As IK mentioned, Q2 social casino free-to-play revenue was up 7% year-over-year, which is in contrast to Eilers recently published estimate of a Q2 year-over-year social casino industry top line decline. Going forward, our goal is to continue to outperform the overall social casino market as we monitor and react to changes in the macroeconomic environment and overall consumer sentiment. In the second quarter, several KPI metrics for our social casino business improved, again, compared to the year-ago period, including average revenue per daily active user or ARPDUA increased to $1.33 in Q2 2024 from $1.05 in Q2 2023, marking a 27% increase. Payer conversion ratio, which is the percentage of players who pay within the social casino app environment increased to 6.7% in Q2 2024 compared to 6.0% in Q2 2023, and average monthly revenue per payer increased 23% to $288 in Q2 2024 from $235 in Q2 2023. Operating expenses rose on a year-over-year basis to $52.0 million compared to $47.7 million in the second quarter of 2023. Operating expenses for the 2024 second quarter include the operating expenses associated with our operation of SuprNation, which we did not own in Q2 of last year, and which were partially offset by lower sales and marketing and research and development expenses for our social casino operations. Sales and marketing expenses for the second quarter of 2024 were $11.1 million, a decline of 15% compared to Q2 2023 and down 25% on a quarterly sequential basis. In Q2, we began to fine-tune our approach to ramping the top line of SuprNation while at the same time managing this business to establish the foundation to generate consistent profitability and cash flow. Our sales and marketing costs focused on acquiring new social casino players continue to reflect our focus on spending to ensure we deliver the best return on this investment. For Q3, we anticipate that overall sales and marketing expenses will be in line with Q2 levels. Net income for the second quarter of 2024 was $33.3 million, or $13.39 per diluted share and $0.61 per ADS compared to net income of $24.4 million, or $9.83 per diluted share and $0.49 per ADS in the second quarter of 2023. Adjusted EBITDA for the second quarter of 2024 increased 34% to $37.0 million compared to $27.6 million for the prior year quarter. Adjusted EBITDA margin was 41.9% for Q2 2024, representing a 520 basis point improvement from 36.7% in Q2 of 2023. Net cash flows provided by operating activities for the second quarter of 2024 were $34.4 million compared to net cash flows used in operating activities of $37.6 million in the second quarter of 2023. The increase is primarily due to higher net income and a lower deferred tax asset impact, as well as the final payment of $95.25 million towards the Benson litigation settlement that occurred in the second quarter of last year. And finally, turning to our balance sheet, as of June 30th, 2024, we had $339 million in cash, cash equivalents and short term investments with a net cash position at quarter end, including the outstanding loan with our controlling shareholder WGAMES of approximately $303 million, or approximately $6.12 per ADS. While we had previously indicated that we intended to pay off loan amounts of approximately $35 million from our controlling shareholder in May, we made the decision to instead extend this loan for an additional two years at the same 4.6% interest rate of the original loans. That completes my financial summary. Now, I will turn the call over to IK for closing remarks.
In Keuk Kim: Thank you, Joe. The strong Q2 results in our core social casino business and the continued solid performance of our SuprNation iGaming business extended our operating performance momentum. Over the balance of this year, we will remain focused on driving further improvement in DoubleDown Casino through the continued introduction of new slot content, our ROI-based marketing spend, and our ability to deliver real time value to players through our LiveOps expertise. Our strategies to continue to drive higher player engagement and monetization will be undertaken in a manner that is consistent with our capital efficiency discipline. In addition, we expect our efforts to increase direct consumer payment volumes, whereby DoubleDown Casino players have an expanded number of options to purchase chips. Beyond the app stores we will continue to benefit our already strong margins going forward. As we have discussed today, as we gain more operational experience with our SuprNation business, we expect to make additional progress on finetuning our new player acquisition strategies so that we can both grow the player base in the UK and Sweden, while also focusing on setting the foundation for this business to deliver consistent, positive cash flow contributions in the near and long term. Finally, I will highlight that the consistency with which we generate attractive free cash flow and our strong balance sheet provides us with financial flexibility to continue to pursue growth by exploring opportunities in adjacent gaming categories through our in-house development efforts and through potential M&A opportunities. We are now happy to take your questions. Lisa?
Operator: Thank you. [Operator Instructions] Our first question for today will be coming from David Bain of B. Riley. Your line is open.
David Bain: Hello?
In Keuk Kim: Hi, Dave.
David Bain: Oh, sorry, I didn't know what happened there. Anyway, thanks Joe. First, I really do want to acknowledge an excellent 2Q execution, that was really well done. My first question would be on EBITDA margins. I know you went through a lot of this, but obviously, several 100 basis points better than we had anticipated. I'm trying to think about the near and long term on go forward. You mentioned the downtick in sales and marketing are likely maintained in the 3Q. So one, I mean percentage of revenue in 2Q, that's a likely level sustained beyond 3Q, and then IK mentioned D2C having a positive impact in 2Q, maybe if there's anything more as a percentage of revenue what D2C transactions were, if you can compare it to quarter-over-quarter or frame it in any way that you can, that would be really helpful.
Joseph Sigrist: Sure. Appreciate the comments and the questions. As far as EBITDA margins, we've had now a couple more recent quarters, over 40%, as you know. And I think that to a certain extent, it's been driven by the efficiency in spend that we have always shown. But more recently, especially because as you mentioned, sales and marketing is something we've been very focused on in being very, very mindful of the ROI associated with, especially the social casino business. I do believe, as I mentioned, that from an --- on an absolute dollars basis, Q3 marketing spend will be pretty consistent with where we ended up in Q2. And from end of the year standpoint, as IK mentioned, we are looking to launch a new organically developed game later in the year. And so, that might create an uptick in the absolute amount of spend in marketing towards the end of the year. But from a Q3 perspective, we think Q2 and Q3 look pretty much the same. As far as direct to consumer as we've said -- Well, we said two things, I think pretty consistently over the last couple of quarters. One, it's early days for us. We really just started with it as a focus. And two, it is a big focus of ours in this year, in 2024. And with that in mind, we have made good progress in the last couple of quarters. I can't quantify it yet for you because, frankly, it is still early days, but it has made somewhat of an impact and certainly look to have it be even more impactful even over the rest of the year and certainly into 2025.
David Bain: Okay, awesome. And then my follow-up would be, I know you guys are gaining share relative to the industry. And you mentioned an industry publication that's calling the social casino industry slightly down. And one reason they cited was the concept of Sweepstakes, maybe taking from social casino. Can you offer any big picture as it relates to the industry or any specifics around that in particular that you're seeing?
Joseph Sigrist: It's a little difficult for us to comment on what's going on with our peers, because what we see is what's happening in our business. And we're obviously very, very happy with where, especially, DoubleDown Casino is right now. And we've done a lot, as IK mentioned, in the investment in meta features and in continuing to bring great new content to our players. And all of that, we think has created an environment where DoubleDown Casino is even more entertaining than ever. And it makes our players want to play and our payers want to pay as they have been. So I can't comment on what might be happening around us because we're very focused on running our business and continuing to be successful with -- within the social casino market.
David Bain: Awesome. All right, thanks again, guys.
Joseph Sigrist: Thanks, Dave.
Operator: Thank you. One moment for the next question. And our next question today will be coming from Greg Gibas of Northland Securities. Your line is open.
Greg Gibas: Great, thanks. Good afternoon, IK and Joe. Thanks for taking the questions. Congrats on the nice results. I appreciate the color on the cost dynamics and everything there. If I could, what do you maybe believe is driving the upside with SuprNation? You noted the last couple of quarters have been ahead of your expectations. Maybe what you attribute that to and what is maybe fair in terms of estimated run rate expectations going forward?
Joseph Sigrist: Thanks, Greg. Yes, I mean, we certainly have seen their business ramp since we bought them. And this quarter, we just announced being the second full quarter that we've been operating the business. We believe that our investment in additional marketing has really helped. And when we started operating the business, we realized that there was definitely opportunity to invest more in marketing and still get a very positive ROI with that incremental spend. And from that standpoint, again, in Sweden and the UK, which are their two main markets, we're excited to be spending money to acquire new players. Obviously, the dynamics are much different and KPIs are much different than our social casino business. But as we learn more about the iGaming business and work with our partners at SuprNation, I think you can expect us to continue to lean into that marketing spend, acquire new players and then layer on top the things that we've talked about as far as synergies in the past, which is, game development, technology platform and live ops, and the things that we do well from our social casino legacy.
Greg Gibas: Great, that's helpful. And if I could follow-up just within social casino, nice to see the growth there and especially considering the aforementioned Sweepstakes games kind of maybe pressuring some peers. You note the meta features that you think are kind of driving growth there and I wanted to just follow-up and see kind of what's working well in terms of what you've implemented and what's kind of showing the strong consumer response.
In Keuk Kim: Hi Greg, this is IK, how are you? Let me start first. DDC has been one of the pioneers in the social casino space for over 14 years. We actually focused on providing our players with lots of fun elements through slot content and meta contents. However, as we introduced more features and benefits for those users in recent years, the content flow and economy became very complicated. So last year we started to refactor it and we formed many flows and features from the user experience perspective. At the same time, it enable us to provide attractive retention meta features. Those meta-features are reward features like Lucky Orbs & Flame Power, Wonder Cards, et cetera as we described last quarter. So as users play more, simply those could help slot playing user's retention. We will continue to experiment with fun retention features like Mission Pass, [indiscernible], Welcome Back and so on. So hope this helps.
Greg Gibas: Great. Yes, that does. And good to hear that you're seeing success with them. Thanks.
Joseph Sigrist: Thanks, Greg.
Operator: Thank you. One moment for the next question. And our next question for the day will be coming from Aaron Lee of Macquarie. Your line is open.
Aaron Lee: Hi, good afternoon. Thanks for taking my question and congrats on the quarter. So you talked about your balance sheet. It's still in great shape, net cash of $303 million. You talked about -- you remain focused on evaluating M&A. Where do you see the most opportunity for M&A? Is it within social casino, within iGaming or diversifying into another adjacency? Thanks.
Joseph Sigrist: Yes. No, I'm just kidding. We continue to look at opportunities across those categories and more in some of the more, I guess, I'd call them, non-casino oriented mobile gaming categories. And certainly, there are categories, Puzzle Match 3 other categories that we, obviously, have been playing in the past, but which are still very large categories and categories which still have incredible power from a payer perspective. So, we really haven't crossed anything off the list. We -- obviously, when we announced that we were buying SuprNation, we said that we were excited about iGaming, but certainly aren't turning ourselves into solely an iGaming company. And we're willing to look at areas that meet our criteria, which aren't just about what kind of a game is it, but also a number of other factors that are consistent with what we're looking for from an efficiency standpoint.
Aaron Lee: Got it. That's great to hear. As a quick follow up, a competitor recently announced a licensing agreement with IGT to use some of their real world content, which they expect to go live by the end of the year. I know you have an exclusive license for a large portion of IGT's content, which should insulate you, but can you comment on that at all and whether you see that having any impact on your business? Thanks.
Joseph Sigrist: Yes, I'm familiar with the announcement. We're familiar with what our partner IGT has been doing. And in fact, they've been looking for additional partners to license in the social casino category for several years. And the short answer is, it doesn't affect our business at all. As you rightfully mentioned, Greg, the games -- most of the games that we use, we have perpetual license and perpetual exclusive license to. In fact, as we said in some of our filings, any game that we started to use from IGT prior to 2020, we do have a perpetual exclusive license to. And those are all of the kind of best IGT games that frankly our players love, the Cleopatras and Golden Goddesses and Da Vinci Diamonds and games that we have taken after 2022, new games that we started to use. We don't have exclusive license to, but we still have our perpetual license to offer to our players. I guess, I'd finally say that over the last few years, we've -- I think, we've discussed many times in the past, really pivoted more towards content that we've developed ourselves internally, as well as content that we've licensed from our controlling shareholder [W] (ph). So as a consequence, the amount of new content that we've taken from IGT has fallen quite a bit, and that adds to certainly the lack of concern we have about what IGT has been doing more recently.
Operator: Thank you. And this does conclude today's Q&A session. It also concludes today's conference call. You may all disconnect. And thank you so much for joining.
Joseph Sigrist: Thank you, Lisa. Thanks, everyone.